Operator: Welcome to the Adient's Fourth Quarter 2024 Earnings Call. Parties will be in a listen-only mode until the question-and-answer session of today’s call. I'd like to inform all parties that today’s call is being recorded. [Operator Instructions] I'd now like to turn the call over to Mike Heifler. Thank you. You may begin.
Michael Heifler: Thank you, Amenda. Good morning, everyone and thank you for joining us. The press release and presentation slides for our call today have been posted to the Investors section of our website at adient.com. This morning, I'm joined by Jerome Dorlack, Adient's President and Chief Executive Officer; and Mark Oswald, our Executive Vice President and Chief Financial Officer. On today's call, Jerome will provide an update on the business. Based on feedback from our investors, we have spotlighted our efforts in the EMEA and APAC regions, as well as how we are driving overall future positive performance. Mark will then review our Q4 financial results and outlook for fiscal 2025. After our prepared remarks, we will open the call to your questions. Before I turn the call over to Jerome and Mark, there are few items I'd like to cover. First, today's conference call will include forward-looking statements. These statements are based on the environment as we see it today, and therefore, involve risks and uncertainties. I would caution you that our actual results could differ materially from these forward-looking statements made on the call. Please refer to slide two of the presentation for our complete Safe Harbor statement. In addition to the financial results presented on a GAAP basis, we will be discussing non-GAAP information that we believe is useful in evaluating the company's operating performance. Reconciliations for these non-GAAP measures to the closest GAAP equivalent can be found in the appendix of our full earnings release. And with that, it’s my pleasure to turn the call over to Jerome.
Jerome Dorlack: Thanks, Mike. Good morning, everyone and thank you for joining us to review our fourth quarter and full year results. We'll also discuss our fiscal year '25 outlook and share additional information on actions we are taking in the EMEA region to set us up for long-term success, provide more details and perspective on our leading and growing business in China, and talk about recent developments in our use of automation and artificial intelligence to drive efficiencies. Turning to slide four, which summarizes the fourth quarter and full year results. Adient's Q4 results were solid against the difficult macro environment, the Adient team drove strong business performance that offset customer volume headwinds. As a result, we were able to expand margins 30 basis points despite a 4% year-over-year decline in revenue. We held adjusted EBITDA flat at $235 million and generated over $190 million in free cash flow. We also continue to allocate capital in a disciplined manner and bought back another 50 million in stock in Q4, bringing total share repurchases in fiscal year '24 to 275 million, which allowed us to repurchase approximately 10% of our outstanding share count compared to the start of the year. To put that into context, nearly 100% of Adient's '24 free cash flow was returned to shareholders. With the strong fourth quarter, we finished the year slightly ahead of our revised guidance. Moving to slide five. At the beginning of fiscal '24, we in the industry were expecting volumes to be a modest tailwind for the full year. We were also forecasting strong business performance items that we can influence of a positive $100 million. In fact, what occurred was much weaker than expected customer volumes, which was a $200 million impact to the adjusted EBITDA compared to our initial guidance a year ago. The Adient team was able to mitigate this contribution margin headwind with nearly $70 million of additional business performance. While we are not satisfied with our 6% total company EBITDA margins, I believe we are demonstrating the resilience of the Adient business model and our ability to find offsets in the face of industry headwinds. Turning to the next slide. Mark will get into the details shortly, but the key takeaway for our fiscal year '25 outlook is that we expect continued strong company performance to offset lower industry volumes. Our outlook calls for roughly flat earnings in fiscal year '25 with solid free cash flow conversion. Our company performance are as follows: Adient continues to win new business with China domestic OEMs, underpinning solid growth in the Asia-Pacific region and this growth is accretive to overall company margins as we've discussed in previous calls. We are also driving significant cost savings through automation and modularity. I will expand on this in the next few slides. The team is focused on executing restructuring in Europe and finding additional efficiencies in the region. We have already announced actions and we continue to develop our plans around improving our business in that region. In '25, we expect the Americas to continue to expand margins and we'll start to see the benefit in the Americas from favorable balance in and balance out. This is expected to become a meaningful contributor to EMEA's regional performance as well in fiscal year '26. On slide seven, we frame the current conditions in the European market, which is exhibiting intensifying cyclical and secular headwinds. Key takeaways here are that S&P industry forecast calls for an additional 5% contraction in light vehicle production in fiscal '25. As we look out over the next few years, European volumes are not expected to return to pre-COVID levels due to lower exports, growing China imports as well as reduced total addressable market for seating systems as certain customers selectively insource. Our eyes are wide open to the challenging and changing realities in Europe and we have been aggressively taking action and will continue to do so. Turning to slide 8, let's walk through the margin progression path for our EMEA business. In fiscal year '24, we took restructuring actions focused on rightsizing engineering and SG&A expenses as well as improving plant efficiencies. During the year, we booked total charges of approximately $145 million in EMEA, with expected net savings benefits of approximately $60 million annually by the end of 2027. As the situation in Europe continues to evolve, future restructuring will be aligned with customer production plans. While we have no specific additional restructuring to announce today, we do believe there's the potential for additional restructuring of a similar magnitude to what we booked in fiscal year '24 in total over the next few years. We are undertaking other near term efficiency actions in Europe, including continuous improvement activities on the manufacturing floor, as well as negotiating commercial margin improvements with customers and suppliers. We've also been conducting a strategic review of our portfolio including pairing of non-strategic businesses and focusing on reduced capital expenditures in the region. We will be consequential with both capital deployment in the region and the pairing of non-core assets. Lastly, we are leveraging our presence in customer relationships in China to target growth with Chinese OEMs as they localize into the EMEA region. Looking out to '25 and '26, we see weak market conditions persisting, and in fiscal year '25, we expect lower profitability in EMEA from volume and mix headwinds to only be partially offset by positive business performance from restructuring and other actions. The first half of fiscal year '25 is likely to be the low point of our margin recovery plan within the region. We expect the picture in Europe to strengthen in fiscal year '26 as we incur positive balance in and balance out, providing margin tailwinds as large underperforming common seat programs roll off and we achieve additional positive business performance including greater restructuring benefits. For additional perspective and to help your modeling, we expect our self-help in '26 from balance in, balance out and restructuring to be a tailwind, all else equal of 50 to 100 basis points. Bottom line, the company continues to execute actions designed to improve profitability within the EMEA theater. Turning to our China business on slide nine. We received a lot of interest from investors in better understanding our China business. We view our China business as the growth engine for the company. It is a center of excellence for innovation where we are developing cutting edge high features seating systems which we are cross-selling to customers in other regions and a competitive advantage in terms of future growth outside of China given our strong relationships with China-based OEMs as they localize into other regions. Given our highly vertically integrated and operationally efficient business in China, growth in China will provide a natural tailwind for Adient overall. When looking at Adient's China business, it is important to understand that we have taken several key transformational growth actions in recent years to position the business for success and ongoing growth. We divested our remaining interiors business to Yanfeng in 2020 and dissolved a significant JV and reconfigured other business ventures with Yanfeng in 2021. These transactions unlocked $1.7 billion in cash proceeds which allowed us to delever our balance sheet. Importantly, they enabled us to shift course in China to focus on seating growth with local OEMs which we believe we would gain share. Since these transactions occurred, we've seen meaningful growth cumulatively 30% received significant dividends from our unconsolidated JVs of just under $200 million in total and generated strong free cash flow. Turning to slide 10, we show our unmatched footprint in China including 37 plants and three state-of-the-art technical centers. We've expanded our footprint in recent years to address growth opportunities with local OEMs, for example, Wuhan and Xinji. We're growing with Geely, Nio, Leapmotor, BYD and many others. As outlined on slide 11, we've won business from six new customers in fiscal year '24 and expect approximately double-digit annual growth between fiscal year '24 and fiscal year '27. Last year, China generated $4.2 billion of consolidated and unconsolidated revenue. Similarly, we have growth with local Chinese OEMs across our businesses and expect our mix of revenue from Chinese OEMs to reach 60% of total revenue by the end of 2027, up from 40% last year. Turning to slide 12. We are prioritizing winning the right business and executing successful launches. Our business awards this quarter demonstrate further market share growth in China and enhancement to our global customer relationships. I would like to point out the win with Xiaomi which resulted in part from our innovative capabilities to drive an outstanding consumer experience, while also maintaining a competitive business case. As you can see on the chart, these wins are vertically integrated to include complete seat systems that include JIT, trim, foam and in some cases metals where it's accretive to the business case. This is a key enabler to improving margins. We've also won a complete seat program excluding metals in the US with the US-based SUV, electric SUV and pickup truck manufacture. We've also won the new Chevrolet Bolt complete seat system that represents a conquest win. In EMEA, we won the popular Volvo EX30 complete seat system as it's localized in the region. Underpinning our new business wins is our high level of execution on multiple launches. We continue to perform on safety, quality and on time delivery metrics for our customers. Turning now to slide 13. In keeping with our core principles of operational excellence, customer portfolio management and accelerating automation to improve business performance, we announced this morning two key developments that we believe will strengthen our efforts around automation and AI. First, Adient has launched an AI welding inspection tool with Mindtrace aimed at significantly improving efficiencies. Adient plans to expand these efforts globally. As part of our collaboration with Mindtrace, Adient made an investment with them in October. Adient has also executed a joint development agreement with PASLIN to develop automated sewing cells with advanced technology to reduce labor and increase accuracy of joining patterns, specifically focused on 3D. We are creating an automated assembly process as well for our new portfolio of non-traditional bonding of cut patterns. Automation continues to transform our operations by reducing costs where we see an opportunity in both direct and indirect labor savings, improving quality and accuracy, enhancing safety in ergonomics, increasing speed of operation and achieving repeatable and reproducible results. Wrapping up now on slide 14. While we are not satisfied with our total company margin result and our goal remains to achieve 8% EBITDA margins, the Adient team delivered strong execution in fiscal year '24 from an operational and commercial performance standpoint against its challenging volume and macro backdrop. In fiscal year '24, we prudently balanced debt reduction and share buybacks via disciplined capital allocation plan. Looking into fiscal year '25, we expect continued positive business performance and strong earnings in a lower customer production environment aided by restructuring, balance in, balance out, modularity and automation. We continue to expect growth in APAC in China and more focused on partnering with strategic customers. We have a strong free cash flow conversion business model featuring efficient capital expenditures and ongoing low cash taxes, and we expect to generate significant free cash flow in fiscal year '25. And finally, we are committed to being good stewards of capital and executing a balanced capital allocation plan with a focus on return of capital to our shareholders. With that, I'd now like to turn it over to Mark to walk through our fiscal year '25 outlook and our financials for fiscal year '24.
Mark Oswald: Thanks, Jerome. Let's jump into the financials on slide 16. Adhering to our typical format, the page shows our reported results on the left side and our adjusted results on the right side. We will focus our commentary on the adjusted results which exclude special items that we view as either one time in nature or otherwise few important trends in underlying performance. Details of all adjustments for the quarter are in the appendix of the presentation. High level for the quarter, adjusted EBITDA was $235 million flat year-on-year. This is a solid performance as we ensured $167 million decrease in revenue from a year ago, which speaks to the resilience and ability to drive business performance to mitigate external pressures. Adient reported adjusted net income of $59 million or $0.68 per share. Next, our full year results are highlighted on slide 17. As Jerome noted earlier, fiscal year '24 was characterized by a challenging customer volume environment where we took steps to mitigate lower than expected volume and mix contribution dollars with incremental cost savings in commercial recoveries. Full year sales were approximately $14.7 billion, down about 5%. Lower customer volumes and negative FX drove the year-over-year sales decline. Adjusted EBITDA was $880 million, down 6% from full year 2023. Importantly, we were able to manage our decremental margins on lost volume to 8% compared to our typical high-teens conversion percentage through positive business performance. For the year, we reported adjusted net income of $166 million or $1.84 per share. I'll cover the next few slides rather quickly since details for the results are included on the slides. This should ensure we have adequate time for Q&A. Starting with revenue on slide 18. We reported consolidated sales of approximately $3.6 billion, a decrease of $167 million compared with Q4 fiscal year '23. The primary driver of the year-on-year decrease was lower volumes and pricing of $177 million, resulting from lower customer production. FX was a slight tailwind of $10 million in the quarter. Focusing on the right-hand side of the slide, Adient's consolidated sales were lower in Americas and EMEA, while sales in Asia grew by 2%, driven by an approximate 5% year-on-year growth in China. In the Americas, lower sales were driven by lower volumes and a weaker program mix. While we have seen improvement in volumes from our year-to-date customer launches, this was offset by a few of Adient's high volume programs such as Ram and Jeep Wrangler, which experienced significant downtime as our customer managed inventory levels. In Europe, we were negatively impacted by overall weaker market demand. Sales were generally in line with the market. In our APAC region, China continues to be the company's growth engine with sales outpacing industry production from new program launches, achieving full year production rates. In Asia, outside of China, our sales also outperformed the industry from new program launches and commercial recoveries. Regarding Adient's unconsolidated seating revenue, year-on-year results declined about 9% adjusted for FX. Results were impacted by end of production of certain programs in Europe and APAC. Moving to slide 19, we provided a bridge of adjusted EBITDA to show the performance of our segments between the periods. Adjusted EBITDA was flat at $235 million. The primary drivers of the year-on-year comparison are detailed on the page. The Adient team drove improved business performance of $72 million, primarily resulting from better net material margin and reduced operating costs including freight, engineering and admin costs. The improved business performance offset volume and mix, which was a $46 million headwind driven by lower vehicle production on key platforms across all regions. We incurred a net commodity headwind of approximately $24 million in Q4, primarily resulting from the timing of recoveries. The team has done a commendable job throughout the year at managing business performance in a tough market. The improvements in the Americas and APAC partially offset the lower volumes and business performance headwinds in EMEA. The result in Q4 is a 30 basis point margin expansion in a challenging macro environment. As in past quarters, we provided our detailed segment performance slides in the appendix of the presentation. High level, for the Americas, improved business performance of $52 million in Q4 was primarily a result of net material margin performance driven by customer recoveries, reduced input costs and improved launch performance. Volume and mix was a headwind of $15 million, impacted by lower customer production, including inventory management downtime with certain customers. Commodities and FX combined were a $21 million headwind, driven by the timing of contractual pass-throughs and transactional impacts from the Mexican peso. In EMEA, year-on-year results were influenced by weak volume and mix, which negatively impacted the quarter by $16 million from lower customer production. Business performance, which was positive $7 million in the quarter was driven by better net material margin, partially offset by increased labor costs. However, business performance for full year fiscal year '24 was negative as we incurred inefficiencies and weaker net material margin. As Jerome indicated, we are not satisfied with EMEA segment performance, and we are taking steps to address the situation. Before leaving EMEA, I'll mention that our team conducted its normal course assessment of recoverability of long-lived assets, including goodwill as part of our year-end closing process. No impairment was recorded. That said, due to the recent trend in EMEA's results, EMEA is under a heightened risk of impairment, and thus, we are including impairment warning language in the 2024 Form 10-K. As Jerome discussed earlier, we are taking steps to adjust our costs in Europe. We continue to assess additional efficiency actions in the region. We expect cash restructuring costs to increase to approximately $100 million in fiscal year 2025, primarily related to European restructuring charges taken in 2024. Moving on in Asia. We generated positive business performance of $12 million from improved net material margin. Volume mix was negatively impacted the quarter by $15 million. In addition to the Q4 regional bridges, we have also included a full year bridge. In summary, the company continues to drive improved business performance in the Americas and Asia, which we expect to continue into 2025. In EMEA, as previously mentioned, we are focusing on driving additional operating efficiencies, restructuring and executing on our plan, which includes the roll-off of lower performing metals business in the start of production of better margin new business, which we believe will positively have an inflection point in 2026. Let me now shift to our cash, liquidity and capital structures on slide 20 and 21. Starting with cash on slide 20. On the right-hand side of the slide highlights the full year results, which smooth out quarterly differences. For the quarter, free cash flow, defined as operating cash flow less CapEx, was $191 million. For the full year, the company generated $277 million of free cash flow. The primary drivers of the year-on-year results for full year are listed on the right-hand side of the slide. We continue to expect strong free cash conversion in fiscal 2025. One last point and called out on the right-hand side of the slide, Adient continues to utilize various factoring programs as a low-cost source of liquidity. At September 30, 2024, we had $170 million of factored receivables versus $171 million at fiscal year-end 2023. Flipping to slide 21. As noted on the right-hand side of the slide, the company returned $275 million to shareholders in fiscal 2024 through share repurchases. This represents approximately 10% of our shares that were outstanding at the beginning of the period. We also retired approximately $130 million of debt in the quarter. These moves demonstrate Adient's commitment to being good stewards of capital while maintaining a strong balance sheet, ensuring efficient allocation of resources and flexibility. Turning to our balance sheet. Adient's debt and net debt position totaled about $2.4 billion and $1.5 billion, respectively, at September 30, 2024. The company's net leverage at September 30th was just under 1.7 times within the targeted range of 1.5 to 2 times. Total liquidity for the company was $1.7 billion, comprised of $945 million of cash on hand and $779 million of undrawn capacity under Adient's revolving line of credit. Moving to slide 23. Let's review some underlying key assumptions to our fiscal '25 outlook. As we enter fiscal year 2025, we are seeing ongoing customer volume pressures in Europe and the Americas as customers continue to adjust inventories to more closely match consumer demand. For the full year, we expect sales to be approximately 3% lower on an FX adjusted basis. Important to note, we are seeing these dynamics play out in Q1 as our customers are reducing inventory levels to close out the 2024 calendar year. We expect Q1 to be the low point for sales and earnings in fiscal year 2025. Our volume plan incorporates the latest S&P October estimates, customer production schedules and our internal estimates on a program level. In China for the upcoming year, we expect our new business will enable us to outperform the market. We expect to offset top line pressures through additional business performance next year through incremental efficiencies, leveraging automation, modularity and maintaining net material margins. From an adjusted EBITDA perspective, we expect to be flat year-over-year at the midpoint of our guidance, which encompasses a negative 2% to 4% range for year-over-year Adient program volumes. Regarding currencies, we have posted assumed exchange rates on the euro, RMB and Mexican peso. As a reminder, we hedge our Mexican peso transactional exposure 18 months forward. Consequently, it will be -- take several quarters for the recent weakening in the peso to fully flow through our results. Moving to slide 24. Sales are expected to be in the $14.1 billion to $14.4 billion range, driven by lower expected production volumes. Obviously, there are always ins and outs that impact volumes year-to-year. I would note a few items affecting volumes in fiscal year '25. In the Americas, our business on the Dodge Ram Classic is sunsetting this quarter. The remaining Dodge Ram program has been split into two. We retained the ICE and our competitor has picked up the JIT portion on the BEV variant. These developments are expected to be a $300 million headwind versus fiscal year '24. Additionally, our exit of the BMW business in Europe is expected to be $100 million headwind. We expect to offset these headwinds with growth in the Americas on key programs such as the GM large 3-row crossovers in the Toyota Tacoma. Our adjusted EBITDA outlook is $850 million to $900 million. Equity income is expected at $80 million, down slightly year-on-year due to changes in the operating agreement between the partners at our Kuiper joint venture. Interest expense is expected to be at $185 million, generally in line with fiscal year '24. Cash taxes are forecast at $105 million. For modeling purposes, important to note, tax expense is estimated at $125 million. CapEx is forecast at $285 million, which reflects alignment with our customer launch plans and our focus on efficiencies and reuse. And finally, our free cash flow is expected at $200 million, down year-on-year, driven by higher restructuring, approximately $100 million in fiscal year '25 versus $55 million last year, modestly higher CapEx and cash taxes. With respect to capital returns, we have $260 million remaining on our share repurchase authorization. In terms of cadence, we expect to more closely match returns of capital to cash generation. Our typical seasonal pattern for earnings and cash flow is second half weighted due to production schedules and working capital flows. Lastly, turning to slide 25. We have provided a high-level bridge from our fiscal year '24 results to our fiscal year '25 outlook midpoint. We expect positive business performance of $100 million to offset lower volume mix of $80 million. Equity income will be somewhat lower year-on-year, primarily due to restructuring of the Kuiper agreement. FX and net commodities are expected to be a modest headwind of approximately $15 million. To sum it up, our message is consistent. We are focused on managing the business controllables such as delivering excellent results for our customers, lowering costs and generating strong free cash flow for the owners of our business, while maintaining flexibility with a strong balance sheet. With that, let's move to the question-and-answer portion of the call. Operator, can we have our first question, please?
Operator: Thank you. We will now begin our question-and-answer session. [Operator Instructions] Our first question comes from John Murphy with Bank of America. Your line is open.
John Murphy: Good morning, guys. A few questions. I'll try to be quick here. First, Jerome, as you think about the operating environment and these volume forecasts, obviously, they're a bit more of a guessing game than they have been historically. If the industry were to come in lighter on volumes and your program specifically, what kind of actions do you think you can take here in the short run on a micro basis? And also, maybe if you could talk about sort of the context of recoveries and commercial settlements with your customers, if there would be anything you might be able to get on that side and how that is actually working right now, because that seems to be a reasonably more collaborative discussion than it has been historically?
Jerome Dorlack: Yeah. Maybe just a couple of comments on that. Thanks for the question. I think if you look at our track record and what we're able to demonstrate in fiscal year '24, running at a volume environment that was significantly more difficult than what we anticipated going into the year, I mean we managed to an 8% decremental versus maybe a more typical 17%, 18% decremental in what we would see in the business. And I think that demonstrates our ability to really get into the business and take things, austerity measures that we can see in the short-term, working with our customers also on commercial recoveries, basket of goods discussions, managing through contractual or delaying of contractual LTAs, delaying of other contractual agreements, offsetting VAVEs. We've talked a lot in the past with you about what we call the Adient ES3 program, where we really get into the trenches with our customers and work to find what we would call engineering savings, driving non-value added waste out of the system where our customers have design features that maybe the end customer isn't willing to pay for, taking that out of the product and taking that waste out and often that saves money for us, can save money for them. There's a share associated with that. And so that was some of the things we're really able to go after in '24. A lot of that waste is still in the system. So, if we see these volumes and as they decline, our customers realize they have to protect their margin. They come to us. It really opens up the field to be able to accelerate some of the savings that maybe when you're in a 91 build environment, the customers aren't as willing to engage. But when you get down into the Americas, a 16, a 15.5 into Europe, where we're at today and a 15.4 build, they're more hungry because they have to protect their margins, and they're really looking for suppliers that can deliver that value and deliver these types of win-win solutions to them. So, it's not always just a battering ram type of discussion, straight contract renegotiation. It's really looking for how can you deliver accretive value to them, but also accretive value to us. And that's how you get to maybe an 8% decremental margin level. So, while the discussions are tough, I think we've demonstrated ways to deliver value for both of us in those types of discussions through our ESG process.
John Murphy: That’s helpful.
Jerome Dorlack: To your first question just on scheduling, I mean, I would say, particularly given our set of customers, and I think you know what our customer breakdown is, it has been certainly in the last two quarters, a much more dynamic scheduling process. With some of the inventory burn down announcements of our customer group, in particular, it has been a very, very dynamic scheduling process in the Americas and in particular, in Europe with a particular customer set out there. I don't know, Mark, if you have anything you want to add?
Mark Oswald: No, that's true. And John, that's -- hence, the range, right? If I look at our sales, right, from 14.1% to 14.4%, right, clearly, we're looking at production, because it has been what I would say, more dynamic over the last couple of quarters. So, we're trying to hedge that. You've seen some recent news reports in terms of certain shifts going out of the system, et cetera. So again, very dynamic that we'll continue to adjust to.
John Murphy: Dynamic is applied way of saying what's going on right now. Just on the underperforming contracts, it just seems like it's kind of like time ticking into the future. These keep coming up. I'm just curious, particularly in Europe, Jerome, as you're saying that, that starts to turn in FY '26, what comfort level you have there that these underperforming contracts roll-off and more normal economic contracts roll-on? And could this could be kind of a persistent issue sort of over time. It's maybe something you think is a '26 event, but it just keeps slipping.
Jerome Dorlack: What I would say is we -- I mean, we have clear sunsetting now on, I'd say, probably two-thirds of those contracts where we have clear end of production dates. Customers have either engine programs that die or there's other plant closure dates. There's actual hard stops that are out there. On the other a third of those contracts, we have windows where we've been able to renegotiate some type of an extension that's associated with them. So, if there is extensions or delays in some of the sunsetting, I think we have the ability to go out there and reprice some of them. Is there a risk on that first two-thirds that they do extend? I mean, there's always going to be some risk associated with it. But I think we have more visibility, more clarity as '26 comes and there's still roll-off in '27. I think we said the first wave of real sunsetting that starts to occur in '26. That's when we see the first tailwind. I think we have much more confidence sitting here today than we did when we sat here with you last year, just given the visibility into that European production scheduling now.
John Murphy: I've got a bunch more, but I'll get back in the queue. Thank you very much, guys.
Jerome Dorlack: Thank you.
Mark Oswald: Thanks, John.
Operator: Thank you. Our next question comes from Colin Langan with Wells Fargo. Your line is open.
Colin Langan: Great. Thanks for taking my questions. Maybe just to start, I mean, Q4 is actually particularly strong. If I annualize your adjusted EBIT, it's better than the 2025 guide and sales actually annualizes in line with the '25 guide. What's so strong in this quarter? And why should it kind of soften from here? Is that all just sort of Europe headwinds? Or how should we think about Q4? Is there something abnormally strong here that is keeping it at a better annualized rate?
Mark Oswald: Yeah. Colin, I'll start there. I'd say that it generally played out as we expected to roll-off this year, right, just in terms of timing of certain commercial recoveries, right, that could be kind of variable as you go through the course of the year. So, the commercial recoveries were strong in the quarter. We did a good job at the business performance just in terms of what we were able to do from an operational perspective, right, whether it was freight, whether it was launch, et cetera. So those played out. I think the problem with trying to annualize that or spread that out into 2025, obviously, volume is going to be another, what I'd say, a slug down for us. We're going to be able to offset a lot of that with business performance. But again, it's going to be timing of commercial recoveries that come in there. It's going to be FX. We've got a little bit of that equity income that comes down. So, it's a combination of those. But overall message is business performance continues to improve as I go into '25. It's again, that volume story as I look across the various regions.
Colin Langan: Got it. Okay. And then, you've been talking about Europe was clearly much weaker in the second half and is already the weakest of the regions. Why the delay in taking more actions? I mean, are you waiting for certain programs to roll-off? Are you waiting for customers to make certain decisions? And how competitive is your footprint today? I mean, do you have facilities in higher cost parts of Europe that you'd want to sort of relocate?
Jerome Dorlack: Yeah. So, I think in terms of why not more faster, to your question, there is a number of programs that we see rolling off '26, '27 and then begin to then balance back in with more profitable business in that '26, '27, '28 timeframe. And that's one of the reasons why we're trying to be and we will be good stewards of capital. And so, versus going out and putting immediately another, call it, $160 million, $200 million of restructuring, and there's a measured approach to this when we can see the additional contribution margin flowing into those sites, the additional profitability coming into the region and being measured in the approach there. So that's why when we look at it and we look at it in the long-term, we can see how the region starts to transform itself and those programs come on and the additional customer business with the profitable customers comes into play, and that's why we're being very measured in how we look at it. While at the same time, looking at noncore assets, looking at non-core customers and working through the disposal of those, and there'll be more to come on that front as we work through that. And that's really what we spent the back half of the last year doing is saying which assets are we going to pare back, not necessarily through restructuring, but through a disposal of those. And there'll be more to come as we work through this year. What I would say on the footprint that we have within the region, our footprint is, I'd say, in line with that of our peers in terms of when we look at our chip footprint, when we look at our component footprint, where we're located, where we need to be located. When we think about the future restructuring, what we have talked about today in terms of the potential of it to be over the next few years, in line with what we've previously announced, it's really tied to as we look at the overall capacity in the region and what will be taken out, the potential for additional site closures, not necessarily due to competitiveness, but just as overall capacity in the region comes down. Our footprint itself isn't vastly different or vastly uncompetitive versus our peer set. It's just the region itself used to be a 20 million unit JIT consumption region. If you look out over the next three to five years, it's down to 15 million units of seating consumption. So, there's just massive overcapacity in the region that needs to be pared back, and it needs to be pared back in line with our customers and their footprint. So, it's not a competitiveness of the footprint. It's an overcapacity action that needs to be taken.
Colin Langan: Got it. All right. Thanks for all the color.
Operator: Thank you. Our next question comes from Joe Spak with UBS. Your line is open.
Joe Spak: Thanks, everyone. Maybe just to follow up there on Europe. I just want to confirm, I think I heard you mention cash restructuring of $100 million this year, but that's related to what you take in '24. And I think in the opening comments, you said you're going to book another $145 million this year. Should the savings be of a similar magnitude as well? So, I think if you originally you were saying $60 million from the first one by '27, then this is another $60 million by '28. So, we're talking about like a $120 million lower run rate '28 versus '24. Is that roughly how we should think about it?
Mark Oswald: Yeah. Joe, just to clarify, you're right on the $100 million of cash restructuring this year, the comments related to the $145 million is what we'd expect over the next few years, right? It's not a 2025 charge.
Joe Spak: Okay.
Mark Oswald: And just for clarity, I mean, that's -- if we look at customer production schedules, Joe, that's what we're saying there's a potential out there. So, we're not announcing today another $140 million in terms of a restructuring charge or anything. What we're saying is if we look out there, going back to my comments on the Europe -- the region used to be $20 million of JIT capacity. It's now $15 million of JIT capacity. If we look at the total European theater, we see that potential out there. We're not taking a charge today of $140 million or $145 million. We're more just saying this is what the potential is out there. In terms of a net savings, it's too early to declare any kind of net savings or anything associated with it. Again, because a lot of that is just going to be taking capacity out. So, it's -- a lot of it, unfortunately, is just keeping par with overall cost structure in the region and not necessarily you shouldn't be looked at as a net savings as much as it is just a run rate with capacity management in the region in order to hold from that standpoint, it will go to margin improvement because we're going to take fixed cost out, but not from necessarily a net savings calc standpoint when you think about modeling.
Joe Spak: Okay. Thank you. On slide 11, I appreciate all the color on your China operations. I guess, if I look specifically at some of your unconsolidated ventures there, I think probably many of us on this call would argue that some of the customers you support through those are still going to be challenged in that region over the coming years. So, what's the plan for the facilities and the JVs? And then, I know you mentioned you want to leverage China and those relationships as they localize. When that does occur, is that going to be through some of the existing JV structure you localized with them? Or would that become more wholly-owned if they localize?
Mark Oswald: Yes. I think as we look into our growth in China, and we forecast and we said on today's call again, we really view China growing kind of double-digits from our fiscal year '24 to our fiscal year '27. We believe that to largely come from our consolidated activities within the region. And a lot of that comes from, as you rightly highlighted, the customer mix there. We have what we believe to be a more favorable customer mix driven from our wholly-owned and consolidated activities. And that's one of the reasons why turning to the actions we took in 2020 and 2021, we took the action to divest ourselves of the Yanfeng joint venture, because we firmly believe we could go out on our own and really attack the local Chinese domestic OEMs. And that's what you see in that customer mix and that customer breakdown there. And that's why we did that. And then in terms of when we go out and we leverage in Europe, when the people -- when these customers go into the region, it will be through our wholly-owned and our consolidated joint ventures. It won't be through necessarily the JV partners just given who's breaking out into the region, into Europe, into Malaysia, into Thailand and into those other regions. It really will be through our wholly-owned and our consolidated activities from that standpoint. And to your first question, what is the plan with our unconsolidated, we continue to view our unconsolidated as a strong partner. They continue to spin-off very favorable equity income to us. They're strong partners within the region. We view them as very valuable assets to us. We leverage, we partner with them, and we see that as a uniquely Adient asset that we continue to drive value from. I mean, especially Kuiper from that standpoint, and that's $45 million in equity income every year that we get a very unique window in the BYD from where BYD is a significant customer to them.
Joe Spak: Thank you.
Operator: Thank you. Our next question comes from Emmanuel Rosner with Wolfe Research. Your line is open.
Emmanuel Rosner: Thank you so much. My first question is on the customer mix headwinds for fiscal year 2025 and the growth on the market in the Americas and in Europe. Do you see these mix headwinds as a timing issue, the destocking, for example? Or is there also a secular component? I'm trying to think to what extent some of the actions you're taking are essentially adjusting to the current level of demand, but essentially -- if there is a time down the line where your growth will be more in line with the overall industry production.
Mark Oswald: Yeah. I think, Emmanuel, and I'll start and Jerome, if you want to add on. But I think it's a mix, Emmanuel, right? So, if I look at Americas, for example, right, I do think the inventory destocking is timing, right? And once they get the inventories aligned, they'll be running. I think we called out a couple of examples like with Ram, right, where the Classic Ram is sunsetting. That's a program that's going away. So that's an Adient specific. I'd say the offset to that is if you look at GM's 3 large crossovers, right, they're going to be running at rate this year where they didn't run at rate last year, right? So, it's a combination. And then I look into the future, and Jerome alluded to a new business that we won with an electric manufacturer here in the Americas, right? So that's going to help the backlog in the out years, right? So, it's really a mix of timing program specific. But yes, over time, I would think that we would gravitate towards what I'd say, a more regional view where we'd be performing with market. I'd also mention that we do extremely well with the Japanese OEMs, right? So again, that's another benefit for us, right, when I look at our customer mix within the Americas. So really a mix there. But over the long-term, we still see continued business performance for the region going irrespective of where the volumes are going. And I think what you saw in '24 was a good example of that where volumes came down, but business performance continued to improve. And again, we're expecting that again in '25 for the region.
Jerome Dorlack: And the other thing I would say for the Americas, and then we'll touch on Europe a little bit. For the Americas, we've been very transparent, Emmanuel, is that we will continue to wind down third-party metals. So, this year, there's the wind off of the large metals program in the Americas associated with a contract there that was supposed to sunset last year. It will finally sunset this year. So, there is between now and call it, 2028 or so, there's about, call it, $300 million to $400 million of third-party metals that will wind off in the Americas. That is -- in that sales line that is purposely being wound off that actually will be incremental in terms of margin profile for the region. And we've always been very transparent about that, and we expect that to happen, and that will be a good thing for the Americas region. With respect to Europe, and Europe's underperformance versus the broader S&P, some of that is secular in nature. It's given there's some launches within the region as one of our customers, in particular, is winding off their small vehicle architecture. There's a lull that they then wind down the next vehicle in Germany and in Hungary. Some of that is also -- we talked about divestitures of non-core assets. There's the planning of some of those divestitures baked into that number this year as we're winding some of those off that lead to the underperformance that's shown there. So, it's a mix. I mean, we would expect Europe, as Mark said, to also return to kind of in line from that standpoint as we look out into the longer term. So, some of that within Europe is one driven from a large launch this year, where there's a lull in the program in the B&C segment, but then also some of the divestiture within the region that we're planning for one of the sites.
Emmanuel Rosner: That's a lot of great color. Thank you. And then as a follow-up, as I look at your cost performance for next year, $100 million. Would you be able to give some rough breakdown of what buckets would be part of it? Specifically, you just mentioned, again, the roll-off of some metals business. What portion of it this accounts for?
Mark Oswald: Yeah. I think when I look at that overall, obviously, when I look at our business performance, there's a lot of things that go in that bucket, Emmanuel. Obviously, there's freight, there's continuous improvement. There's what we're doing on the launch and tooling aspect, right, ops waste. Those are all the positive, but I would say what we control. In addition to that, you will have an impact of, let's just say, the metals -- lower performing metals business in Americas rolling off this year, which helps. I won't break each of those buckets out. But again, I look at it as pretty much what we were able to do in '24 continues into '25, more of the same, just as we're focused on the cost environment and then getting the tailwind from certain of those underperforming platforms rolling off.
Emmanuel Rosner: Got it. Thank you.
Jerome Dorlack: Thank you.
Operator: Thank you. Our next question comes from James Picariello with BNP Paribas. Your line is open.
James Picariello: Hi, everybody. Just on the EMEA margins for the year representing trough. Can you just help dimension, the magnitude on this and particularly for the first half, which sounds to be the most challenged on a year-over-year basis, just how to be thinking about the margin degradation? Thanks.
Mark Oswald: Yeah. So, James, obviously, volume is going to be another impact for EMEA as we look out into 2025. We did indicate that we do expect to have positive business performance in the region. So again, the team is working hard just in terms of launch, what we're doing, continuous improvement, clearly certain of what I'd say, the customer-driven costs that impacted us in '24. So, as customers didn't run at rate as they stopped production, right, we had trapped labor. Those improve as we get into '25. So, I think that becomes a tailwind in '25. But again, the impact from the lower volumes over there, and we've called that out, call it, about a 5% reduction in overall production. Clearly, the volume impact on the EBITDA is going to be the biggest driver.
James Picariello: Okay. And on your China Asia-Pac sales outlook, it looks like you're calling for 6 points of outgrowth. Just curious what drives the confidence on this? Because if we do look back to last year's guidance at the beginning of the year, I believe Asia-Pac was supposed to outperform the market by mid single digits thereabout, which didn't necessarily play out. I think we all can appreciate the severe industry volatility over the last 12 months, no question about that. But can you just speak to what the downside surprises were last year for Asia growth, if you agree with that assessment? And what's set up to be different this time around? Thanks.
Mark Oswald: Yeah. I mean, I think what played out differently last year versus what we thought, and very fair question is imports versus exports. When -- last year, a lot of the growth that occurred in the region or a lot of the production because there wasn't much growth, a lot of the production in the region came from exports versus pure domestic production. We weren't very strong on some of the export vehicle lines, especially from BYD who is exporting significantly. We get that through our equity income partners, as I mentioned earlier, and some of the Geely platforms. This year, when we look at that 7% outgrowth, we're 100% booked in the region. We've already considered what we saw last year, that mix between domestic versus exports. So, a lot of that's now baked into both the S&P forecast and our own market intelligence that we have in there. So, I think we're smarter going into this year when we've looked at that mix between domestic versus internal consumption within the region, the mix of customers. So, I think we just have more market intelligence going into this year than we did last year and the natural mix that we expect to see. That's not to say we can't be surprised. There may be another dynamic that comes up. I think as everyone is aware, China is pushing through a stimulus package. We haven't seen exactly what that will be. They released one about two months ago, didn't necessarily have a significant effect. They're readying another one. That may have an impact on what that mix could be or will be. So, there could be some changes around the edges. But based on the latest intelligence we have, considering the dynamics that took place last year, I think we have a good deal of confidence in that 6% outgrowth of market.
James Picariello: Appreciate it, thanks.
Mark Oswald: Thank you.
Michael Heifler: Operator, we are going to end the call now. I know there's a couple of people still in queue. Please feel free to reach out to me, and we will follow up after the call. I want to thank everybody for their participation on this call. Jerome, any closing remarks you want to add?
End of Q&A:
Jerome Dorlack: No. I mean, first of all, for the Adient team that's on the call, I want to thank everyone for a very hard-fought fiscal year '24. It wasn't easy in the face of all the volume challenges. To all of our shareholders, thank you very much for your confidence and participation with the Adient team and the Adient shares. And then to all the analysts, thank you for all the questions today. And as Mike said, please feel free to reach out to Mike or Mark. And if you have any follow-on questions, certainly feel free to set time, and we're always glad to walk you through Adient and articulate what makes us special. Thank you very much.
Mark Oswald: Thanks, everyone.
Operator: That concludes today's conference. Thank you for participating. You may disconnect at this time.